Operator: Greetings, and welcome to Allscripts' Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded.I will now like to turn the conference over to your host, Stephen Shulstein. Thank you. You may begin.
Stephen Shulstein: Thank you very much. Good afternoon, and welcome to the Allscripts' second quarter 2019 earnings conference call. Our speakers today are Paul Black, Allscripts' Chief Executive Officer; Rick Poulton, our President; and Dennis Olis, our Chief Financial Officer.We'll be making a number of forward-looking statements during the presentation and the Q&A part of the call. These statements are based on current expectations and involve a number of risks and uncertainties that can cause our actual results to vary materially. We undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our earnings release and SEC filings for more detailed descriptions of the risk factors that may affect our results. Please also reference the GAAP and non-GAAP financial statements, as well as the non-GAAP tables in our earnings release and the supplemental workbook that are both available on our Investor Relations Web site.And with that, I'm going to hand the call over to Rick Poulton.
Rick Poulton: Okay, thanks, Stephen. Good afternoon everybody. Thanks for joining our call today. As always, we appreciate both your time and your interest in Allscripts. We reported a strong second quarter with bookings of $276 million, which was up 31% year-over-year. Our pipeline of new deals remains strong as well. And so, in conjunction with our strong first-half performance, we are raising our outlook for 2019 bookings by $125 million, at the midpoint of the new guidance range compared to the midpoint of the old range. Although conversion of backlog to revenue was a little slower than we had hoped for during the quarter, we never the less had nice sequential revenue growth from Q1. And we expect this quarterly sequential growth to continue throughout the balance of the year. Dennis will provide more details on financial performance and our outlook later in the call.Now, let me highlight some specific trends and client activity during the quarter. In the hospital and health systems market we had a very strong quarter from a bookings perspective as we saw strength across both the Sunrise and Paragon customer bases. Specifically, we had two separate Paragon accounts expand their footprint to include the integrated ambulatory module, and with that decision also signed seven-year extensions. We are proud of the progress we've made with the Paragon base, as nearly 20 clients have now signed on to long-term agreements, since we acquired the business from McKesson in late 2017. While we'd experienced some anticipated attrition in the Paragon base from clients who had already made a decision before we bought the business, our investments have allowed us to retain the vast majority of clients, and we look forward to continue serving this client base.With our Sunrise solution, we acquired two brand new clients during the quarter, both the result of winning competitive proposal processes. The first, San Gorgonio, is a California-based community hospital who is migrating to full clinical and revenue cycle with us. And the second is an international win at St. Luke's Medical Center, in the Philippines. St. Luke's is a large academic medical facility with more than 1,100 beds, and is the leading most respected healthcare institution in the country. We are thrilled to have them as our anchor client in the Philippines, and as they join the Allscripts family it further cements our industry leadership position in the Pacific Rim.In addition to these new clients, we had several significant Sunrise account expansions during the quarter. MaineGeneral went all in with us to add the integrated ambulatory module as well as the entire suite of perioperative solutions and patient engagement solutions. We also had a major expansion with an academic medical center in New York to include our suite of perioperative solutions and mobility solutions. Finally, and perhaps most importantly, we made significant progress during the quarter with our largest customer. We are in advanced stages of negotiations with Northwell on both extending and expanding our relationship with them. And we expect these negotiations to conclude before the end of the year.So now moving over to the ambulatory market, we continued the momentum we saw in the first quarter with strong demand for revenue cycle management services. We added 10 new revenue cycle clients in the second quarter, and to date Allscripts Revenue Management Services covers approximately 6,000 providers, representing over $2 billion in annual billings. We also continue to see success selling HealthGrid to our ambulatory base of clients, and we closed 24 new HealthGrid deals during the second quarter. So looking ahead in this market, our pipeline for new revenue cycle services opportunities, HealthGrid up-sells, and new clinical deals all remain strong.Moving to Veradigm, let me start by making a few comments about our announced agreement in principle with the Department of Justice related to Practice Fusion. As you know from our previous SEC filings, the DOJ began investigations into certain practices of Practice Fusion before we acquired the business early last year. These investigations had many similarities to investigations that have either been settled or remain active with many of our industry competitors. After acquiring Practice Fusion, the DOJ investigations continued to expand and required expanding levels of resources from us to support. The main focus has been on actions that occurred prior to our ownership, and thus we were highly motivated to reach an accord with the DOJ as soon as possible so that we could put this chapter behind us and focus our team entirely on serving our clients and realizing the significant opportunity that Veradigm has to bring value to the payer life science end markets.So, while the amount we've agreed to pay, of $145 million, is not insignificant, it is in line with other settlements in the industry, and we are happy to reach the agreement in principle. We will work with the DOJ to finalize the details of the settlement over the next coming months, and we expect to have recoveries from a variety of third parties that will help offset a portion of the amounts we have agreed to pay the government. So with that covered, let me remind you that our strategy at Veradigm remains pursuing additional opportunities to add data to our industry-leading dataset, and building new workflows and analytics solutions for life science companies and risk-bearing entities. We are creating one of the industry leaders in solving key problem for payer and life science clients, and our success to date positions us well to deliver on the long-term growth outlook we shared for Veradigm earlier this year.We continue to pursue additional opportunities to make our dataset even more robust. As an example of this, we recently acquired the American College of Cardiology's cardiology and diabetes registry assets. This will extend Veradigm's EHR-enabled ambulatory research network to create a large-scale chronic disease network with more than 250,000 clinicians and 150 million patients in the United States. Our robust dataset which includes the next-gen ambulatory data allows us to provide insights and analytics to these clients, and affect change at the point of care, which is really the key competitive advantage for Veradigm. Integration of next-gen data is processing according to plan, and we expect to start recognizing revenue from the partnership during the fourth quarter of 2019.So, with that, I'll now turn the call back over to Dennis to go through more financial details for the second quarter and our outlook for the balance of the year.
Dennis Olis: Great. Thanks, Rick. As we review this quarter's results, please reference the schedules in the earnings release as well as the supplemental data workbook available in the Allscripts Investor Relations Web site. For clarity purposes, my comments on the income statement will largely focus on non-GAAP metrics unless otherwise stated. Full reconciliations of GAAP and non-GAAP figures are available in the earnings release.Now let's turn to the results for the second quarter. Bookings were strong in the quarter totaling $276 million, up 31% year-over-year as the momentum from the first quarter continued. Our reported backlog now stands at $3.9 billion. This reflects both the impact of bookings as well as renewals in the quarter that are not included in the bookings metric.Turning to the income statement, second quarter GAAP and non-GAAP revenue totaled $445 million, within our guidance range of $445 million to $455 million. As demonstrated with our Q3 and Q4 revenue guidance, we expect our year-over-year organic revenue growth to improve in the back-half of 2019 as we benefit from the strong bookings that we've experienced in the first-half of the year. While there may be slight variations in recurring revenue from quarter to quarter, we continue to expect recurring revenue to trend in the high 70% to low 80% range for 2019.Moving to non-GAAP gross margin, total Allscripts gross margin was 44.1% in the second quarter of 2019, compared with 46% in the second quarter of 2018, and up from 43% in the first quarter of 2019. The 100 basis point sequential improvement is attributed to our datacenter consolidation efforts and continued cost efficiency initiative. As we said last quarter, we expect gross margin to run at approximately 44% for the balance of the year.Looking at operating expenses, non-GAAP SG&A totaled $91 million, approximately $7 million decline from a year ago as we benefited from actions taken to drive transaction-related synergies as well as overall expense management. The non-GAAP SG&A figure exclude transaction-related and other expenses. Non-GAAP R&D was $61 million, approximately flat year-over-year. Our gross software capitalization rate was 29% in the quarter, in line with our expectation. Adjusted EBITDA totaled $75 million, which equates to a 17% adjusted EBITDA margin flat with a year ago quarter. We continue to expect margins to improve for the balance of 2019 as we benefit from cost savings related to our data center migration, additional service bill ability due to planned upgrade, faster growth in the high margin Veradigm business and overall leverage on SG&A and R&D expenses.Looking below the line, total cash interest decreased to $6 million, which compares to $8 million from a year ago. GAAP loss per share in the quarter was $0.90, and includes transaction legal and other costs of $154 million. As Rick noted, we recognized a $145 million expense in transaction legal and other costs related to the agreement in principle with the DOJ.Our non-GAAP effective tax rate was 24% in the quarter consistent with Q1. Finally, excluding non-cash adjustments and transaction related and other expenses, non-GAAP net income attributed to Allscripts totaled $29 million and non-GAAP EPS was $0.17 for the quarter. We ended the quarter with a principal balance of $520 million unsecured debt and $345 million of convertible senior notes.Our leverage ratio defined as net debt divided by trailing 12 months EBITDA was 2.4 at the end of the quarter, up slightly from 2.2 at the end of Q1 of '19. The strength of our balance sheet gives us significant flexibility for additional investments in high growth areas and the continued return of capital to shareholders. We did not repurchase any shares in the quarter as a result of blackout restrictions related to material negotiations in the second quarter, which resulted in an agreement in principle with the DOJ. We expect to be opportunistic with additional share repurchases going forward, which is consistent with our prior practice. At the end of Q2, we had $148 million remaining under our existing stock group purchase conversation.Turning to cash, Q2 operating cash total negative $8 million, compared with favorable $8 million a year ago. DSO total 88 days in the quarter, down from 97 in the first quarter as we benefited from higher revenue and improved collections. As we've noted in the past, cash flow will vary from quarter-to-quarter. We expect 2019 cash flow to improve in the second-half of the year, as the first-half of the year included cash outlays for employee performance bonuses, taxes associated with the divestiture of Netsmart and severance and retention fees. We expect minimal cash transaction related expenses in the back half 2019.Turning to our outlook, as a result of our strong first-half bookings results and our expectations for the second-half of the year, we are increasing our 2019 outlets for bookings. We expect bookings in 2019 are between $1.5 billion and $1.1 billion, which is up $125 million at the midpoint from our prior outlook between $900 million and $1 billion. This reflects the strength in both our provider and Veradigm businesses.For the back half of the year, we expect revenue growth to accelerate as we benefit from strong bookings that we've seen so far in 2019. We expect quarterly sequential revenue growth to increase every quarter in 2019. For the third quarter of 2019, we expect non-GAAP revenue of between $445 million and $455 million, which reflects a 2.3% year-over-year organic growth at the midpoint of the third quarter outlook. We're also providing non-GAAP revenue guidance for the fourth quarter as we have improved visibility as a result of our bookings performance. For the fourth quarter of 2019, we expect non-GAAP revenue between $460 million and $470 million, which reflects approximately 5.5% year-over-year organic increase at the midpoint of our fourth quarter outlook.Finally, we are reaffirming our outlook for full-year non-GAAP earnings per share. We expect non-GAAP earnings per share between $0.65 and $0.70 for 2019. This outlook reflects a non-GAAP effective tax rate of 24% for the full-year of 2019.And with that, I'll turn it over to Paul.
Paul Black: Thanks, Dennis. First, let me say that I'm pleased with our second quarter and first-half financial results, particularly with a strong bookings performance. Our solutions continue to resonate with our clients and prospects. We are benefiting from strategic decisions we made to build a robust EHR and surrounding solutions portfolio, and expanding that portfolio with an industry-leading presence in the high growth payer and life sciences market. This distinguishes us from our EHR peers. We believe that we are the leading edge of the HIT industry.We're delivering on our commitment to both clients and shareholders. On the client side, we continue to invest in our platforms. Our scale allows us to innovate, being responsive to client and regulatory meeting. As Rick noted, this has resulted in the strong bookings that we have reported so far this year. So with the highlights including a major all-in Sunrise expansion, Paragon extension, growth in our revenue cycle business, continued penetration with consumer platforms and robust growth in Veradigm. We also continue to build a very competitive business internationally. Year-to-date, we've had the best first-half internationally that we've had in the past five years. We see the strong growth in bookings driving revenue growth acceleration in the back-half of 2019, as Dennis noted.We take our commitments to our shareholders very seriously. For the past four years, we have matched our EPS commitments without revising our outlook midyear. We have provided a path to our three-year revenue outlook. And while we are only two quarters in to 2019, our strong sales and our current pipeline give us confidence in our three-year revenue outlook that we laid out in January of 2019. Overall, our financial position is strong, and our vision and execution are delivering results. We've demonstrated we can attract new clients across our portfolio and cross-sell new capabilities to our existing clients. This should result in market share expansion. Our strong and de-risked balance sheet allows us to be disciplined with our capital deployment. We've demonstrated this successfully in the past.As an executive team, we continue to focus on strategically priced M&A to drive growth and operating synergies. We are focused on driving margin expansion and earnings growth, and given that we trade at such a discount to our peers, we will be focused on returning capital to shareholders via opportunistic share repurchases. All this will benefit our clients, our associates, and our shareholders.With that summery, let's open up the line for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jamie Stockton with Wells Fargo. Please proceed with your question.
Jamie Stockton: Yes, good evening. Thanks. I guess maybe I'll start with Practice Fusion, although I'm sure there's not a ton you want to say about it. If I look at the number of doctors who attested with that software versus, let's say, eClinicalWorks, who also obviously had a big penalty. Practice Fusion, the attestations were way less. But the penalty is pretty similar. Can you just talk about kind of how you got to the number? And again, I appreciate that you guys just want to put this behind you, but any color would be great.
Paul Black: Well, the only color I provide, Jamie, is this, so first up, as you know, because you follow us close, the extent of the investigations going on by the DOJ with Practice Fusion I think were wider and broader than, you used the example of [indiscernible], but -- so it started -- they certainly started out with a lot of similarities to, again, what I said is those that have settled, and there's many others that are actively going on, as I think you're aware as well. But those investigations widened, so the scope probably changed a little bit. And I guess the only other thing I'd say is, at the risk of being repetitive, we were anxious to put this behind us, Jamie. So we're -- we can't speak to how the government thinks about what's fair for various entities, but what I can tell you, it was a long protracted negotiation with the government and we got to a place that we think both parties can stomach it. So that's all --
Jamie Stockton: That's great. I guess my other question, obviously the business seems like it's growing again. You guys have a good outlook for the second-half, so it seems like most things are moving in the direction that you want them to with the exception of free cash flow; negative last year, negative the first couple of quarters this year. And I heard Dennis' comment, obviously, that you expect things to improve in the second-half. Maybe you could talk about what is a reasonable level of free cash flow for you guys to produce on an annual basis and kind of on a go-forward basis or is there a reasonable conversion rate of EBITDA, adjusted EBITDA, and the free cash flow we should keep in mind. Just anything on that would be great.
Dennis Olis: Yes, Jamie, this is Dennis. So as we've talked about in the past, we had a couple of large events that hit us in the first quarter as referenced a couple of -- in the first-half of the year I referenced a few of them in my prepared remarks, a pretty significant performance payout for our employees who had a $30 million Netsmart payout. And we've incurred some fairly significant severance cost and transaction-related cost. Most of those transaction-related costs are behind us. We expect very little of that to carry forward into the second-half of the year. So again, we had some very large one-time items that hit us in the first-half of the year that will not be repeated in the second-half of the year.In terms of modeling, we've given guidance before of talking about over the longer period of an 80% to 100% conversion on net income. We think that's something that we would look to happen in the latter part of this year and going into the next year, and that would be what you should use to model your free cash flow for us going forward.
Jamie Stockton: Okay, thank you.
Operator: Our next question comes from Michael Cherny with Bank of America. Please proceed with your question.
Michael Cherny: Afternoon, and thanks for taking the question. Maybe if we dive into the international performance, you highlighted how you've had the strong start so far year-to-date. Could you talk maybe about some of the geographies where you've been successful, and how much is market driven in terms of specific government-related incentives in those areas versus competitive wins where they're just looking to optimize their business?
Paul Black: Sure. This is Paul. I think we've had some pretty good results in the Asia-Pacific marketplace, as Rick talked about, and that's been a good market for us historically. We have a lot of very satisfied clients over there that are great references for us in that region, between Singapore, Guam, now this one that we talk about today, as well as some work that we do in Australia. So that's one area that continues to do well. The other one would be within the United Kingdom, and specifically inside of the National Health Service over there, where we were also last week, they have a new procurement process and we are one of the eight people that were tasked to be able to do business in that country. That's important based on the references in the past, based on -- you actually have to show them the software and production in-country, which is there's a pretty high watermark for what you had to do in order to be compliant with that process.And then the other thing I would say about what we're doing in the United Kingdom is that the clients over there are all, and I think that's always a hard thing to say, but they're all highly referenceable, and I'm very proud of that and that team, and what we've been able to accomplish in that country. So those are probably two of the pretty good sized opportunities that we continue to do well in.
Rick Poulton: Yes, Mike, I would just jump on to that. I mean I think that's where a lot of the recent action has been, but we have a pretty good footprint up in Canada as well. And there's some good opportunities ahead we think in Canada, so that's a focal area for us. And lastly, while the country operates a homegrown EHR, we are now connecting the entire country of Israel with the DB Motion Suite. So, we think that's a pretty interesting model that has a lot of applicability and a lot of other European, and even outside of Europe countries. So, I would just add -- staple those to where Paul said the focal points are.
Michael Cherny: Appreciate all those comments. And then just maybe, Dennis, a technical question for you relative to the Department of Justice settlement. It seems like the cash would be due within next couple months. Is the expectation that it'll be due this year, and will it be funded through debt or is there some other component that you intend to funded to obviously, net of whatever recoveries that you're able to capture?
Paul Black: Yes, we are still in the negotiations with the DOJ. So in terms of the timing of one payment would be due, that has not been concluded yet. So we'll talk more about that once we have a final agreement in place.
Michael Cherny: Okay, guys. Thanks.
Operator: Our next question is from Robert Jones with Goldman Sachs. Please proceed with your question.
Robert Jones: Hey, thanks. I guess maybe just to follow-up on that, Dennis, the dollar amount that you highlighted at 145? You know, any sense of how much of that is actually on Allscripts versus I think you guys mentioned third-party and then am I thinking about how that would work, though correctly? I think the cash balance right now is slightly below that. So would it -- the timing inside would it have to be some portion debt in cash?
Dennis Olis: Again, we take it into the specifics of the timing of when those payments would be due. So I really can't address you know how we would fund it at that time, we've got a certainly a lot of availability on our current credit facility that would allow us the ability to do finance that it needed. But again, we will provide more clarity once we have final agreement with the DOJ.
Robert Jones: Got it. Now, that's fair. That's fair, and that's helpful. I guess maybe taking a step back, clearly strong bookings, you guys sound really confidence in accelerating the revenue growth into the back half, but if I take a step back and you look at kind of where revenue and gross profit and EBITDA were in the quarter versus where they were a year ago this quarter if you know just out for Netsmart, it seems like we're kind of in the same ballpark. So what gives you guys the confidence, I mean, obviously, you have visibility into the bookings. We don't. What gives you the confidence as you look forward that, this could potentially be a point in time where the P&L could start to pick up from these levels?
Paul Black: So I want two comments unless Dennis finished up asking for that. So first, you'll know, right second quarter was by far the high watermark last year as well. So, you can see Q2 had, it had some non-recurring opportunities that came in that were part of what drove that. So it's a very, very different outlook for the back half of this year than last year, I would chalk some of that up to lots of moving pieces with a lot of M&A activity we did over you know, 18 months span and it goes back to the McKesson deal. And working through both some of the accounting impacts of bringing on board some of those deals, but also, if you think about just a comment, I made earlier I mean McKesson for instance, we had a bunch of Veradigm clients that we knew were dead men walking, if you will, right. They were still contributing to revenue, but we knew they were going away. So we'd have to work through some of that. And some of that has kind of created noise around what we're otherwise some movement forward with our core business. But I think what gives us the confidence and I'll turn it over Dennis as we've worked through a lot of that. And then secondly, we built a nice backlog across all facets of the business, including Veradigm. We've talked to you about how the NextGen deal turns on in Q4 as well for an example. So there's a lot of things like that are new opportunities that are going to start showing up in the numbers.
Dennis Olis: Yes, just to add on to that we did have an exceptionally strong first-half of the year for booking both in the acute space and international markets as those projects get worked on, and we were able to recognize some of the service revenues and start to turn those systems live will generate revenue from that. We also had a very strong booking half for revenue cycle management and HealthGrid. Those businesses are being turned on as we speak. So sooner we turn those on, they generate revenue and a recurring model to expect that to continue to grow.And then finally, I think as Rick alluded to, I will start to see some revenue coming in from the NextGen deal in the latter part of the year. So those items along with a lot of our service upgrades happening in the second-half of the year, we've talked in the first-half about a lot of those projects being delayed, those are coming to fruition, we've received the bookings now just executing on the implementation of those upgrades in the second-half of the year. That's what gives us confidence and the guidance that we provided for the third and fourth quarters.
Robert Jones: Got it, thanks for all that, I appreciate it.
Operator: Our next question comes from Charles Rhyee with Cowen & Company. Please proceed with your question.
Charles Rhyee: Yes. Thanks for taking the question. Maybe just a follow-up on Bob's question, so you talked a little bit about the second quarter revenue was a little bit low, the less than you might have expected. Anything in terms of the timing on these invitations that are kind of picked up here to get to the third quarter, I understand in terms of like high watermark. So I would assume, in terms of the year-over-year growth, we'll see that sequential growth. Any anything that we should be watching out for that's happening here, let's say in the third quarter, specifically, in terms of implementation timelines that everything so far is on track?
Rick Poulton: Again, the Charles the revenue that we had in the second quarter of the year, the $445 million, was within the guidance range that we provided, albeit at the low-end. I think some of the things that drove it, again, we had the strong bookings, but just getting the onboarding of some of these HealthGrid deals that we have. And some of the revenue cycle management, the onboarding was a little -- took a little longer than we had expected, because of the size of the backlog. And we've built up the teams with some of those positions to India to get some synergies from a cost standing perspective, but we expect those to wrap-up and recognize that revenue in second-half of the year.
Charles Rhyee: That's great. And then just a question about on the bookings here, obviously, a strong performance here first two quarters now, just thinking about and obviously raised the guidance in the back half, it sounds like here in the second quarter, a lot of it was from the international, can you give us a sense of when you're thinking about the back half where you would expect, sort of how that mix to shake out? Are you looking at mostly international plus, Veradigm or more Paragon here in the U.S., maybe a little bit of a view? And then lastly, you talked about you've been able to retain the vast majority of the Paragon client base, and it's good to hear you some expansion extensions here. At this point, in terms of the customer base, is there any percentage of customer base that's left that has to make a decision that either to chosen this day or has already made decisions to leave?
Rick Poulton: Let's start with the first part of your question, Charles. Yes, if you think about our business in four broad events, we have our U.S. hospital business, we have our independent ambulatory business, we have our international business, and we have a Veradigm business. What you should be taking away from this call is we had a good quarter in all those areas in Q2 and we also feel like we have pretty good pipeline in all those areas. So that's part of what you're hearing behind our comments. And so we will drive the back half the year which we think performance across the whole portfolio. For our focus, particularly in International, because, it's been an area we feel like we've talked about for a long time, and it's been slow coming. But the significance of having the best quarter in five years, I think is a good milestone and that's why we mentioned it, but in the end, it would be a mistake to walk away thinking that international drove most of the quarter's performance, it was a pretty equal participation across all four of those areas.
Charles Rhyee: Okay.
Rick Poulton: As for the second party question, which I think was really around the Paragon client base, or maybe more broadly, around client base in general. Look it's a competitive market out there and I don't think anybody can take for granted their clients. We've been making effort to try to create opportunities for clients to lockup with us for a longer period of time and show them the value of making that commitment for a longer period. They can plan for their upgrades, et cetera and we can think about a much longer-term relationship between two of us. And so for those that see that value, that's what we've been doing. We've gotten longer-longer deals, not everybody sees it that way. Some sectors of the market still like to kind of go to year-to-year decisions. And that's okay, we'll continue to work with those clients, but I think if you have a long-term contract, you have less risk. If you don't, you have a little more room on the margin, but in the end of the day, I think everybody -- certainly we feel like we need to fight every day for each of our clients.
Charles Rhyee: Great. Thank you. I appreciate it.
Operator: Our next question comes from Jeff Carol with William Blair & Company. Please proceed with your question.
Jeff Carol: Yes, good afternoon, and thanks for taking the questions. Maybe a couple more on revenue in the quarter more bookkeeping type questions. First, if we get a specific organic revenue growth number from the quarter. I know there might have still been some contributions from HealthGrid and ZappRx and then the second one of revenue in the quarter would be the -- apologies if I missed this, the split between the Veradigm and provider segment?
Paul Black: I'll let Dennis cover all of it, Jeff, except I would only just say there's no real M&A of any significance impact year-over-year. ZappRx is like next to zero and even HealthGrid, what we picked up in Q2 of last year, we obviously had some -- we've got some nice sales activity since then, but there is delay really in the revenue contribution for most of that. So I think you should think of it, what you see is organic. So, Dennis you want to pick up the second part of the question?
Dennis Olis: Yes. In terms of the split between Veradigm and the provider that will obviously be published in the queue, we don't typically get into details here, but we had given general guidance that it's roughly a 90-10 split. I think it was a probably a little richer in the provider non-Veradigm space in this quarter than the net ratio, but it's along those lines.
Jeff Carol: Got it. And then another couple questions on the DOJ settlement that's looming, so first, any potential terms or conditions beyond a cash payment? And then second does this potential payment impact your thoughts on share repurchases or capital allocation?
Dennis Olis: Look, the terms of the deal, we have an agreement and principle, and yes, there's obviously parameters to that, that go beyond just writing a check, but we feel -- some of those are still need to be finalized. We have conceptual agreement on what we would think to be all the material points, but we got to work for some of those specifics of getting that done before we can fully provide transparence at what that is. But I think we're -- the biggest impact will be writing a check, in our view, and then we'll have some amount of other things to comply with, but we don't see them as impediments to the business, or not likely to be impediments with business. I think with respect to then what -- does that cash change our share repurchase thinking, no, I mean, it's done it on a several occasions, we have tremendous amount of capacity available to us right now, and so we do not [indiscernible].
Jeff Carol: Make sense. Thanks for taking the questions.
Operator: The next question comes from Stephanie Demko with Citi. Please proceed with your question.
Stephanie Demko: Hi, guys. Thank you for taking my question. Just given the recent interest in patient portal solution, could you update us on the FollowMyHealth product? I'd love to hear about any demand in future functionality build-outs that are in the work?
Paul Black: Sure. Well, I mean, FollowMyHealth had an expulsive growth curve when everybody was adopting portals from meaningfully these two requirements. It continues to be used by virtually all of our EHR clients. The big step we took last year was -- you know, we see clients thinking about patient engagement much broader than just a portal, and so, that was really what was behind the acquisition of HealthGrid, and integrating that both technically with FollowMyHealth and also in terms of the go-to-market strategy we lended those sales team together to do that.So they're having a fair amount of success bringing -- think of it as patient engagement on Chapter 2 is what HealthGrid represents, and there had been a lot of success bringing up in the market as your heard some of the comments earlier, but I think I am not really sure what else you might have in mind, maybe you should say something more specific you are trying to think about. FollowMyHealth continues to be a great -- we think it's the most flexible solution in the industry right now for patients to use.
Stephanie Demko: So I was just thinking about the track of FollowMyHealth and your revenue cycle pass you mentioned in the prepared comments, and you are starting to see more institutions that you sell to patient portal partner with financial institutions or SYNTAC players to try to build that more of a patient payment solution versus, let's say, a data grab solution, so any thoughts on innovation there?
Paul Black: Yes. We have -- there is payment technology already embedded in FollowMyHealth. So, a patient who is a user of the portal can easily go to the FollowMyHealth account and settle co-pays, deductibles, etcetera. So, a lot of that exists with some financial partners. We add to some of that capability with HealthGrid, and we'll continue to -- I think you should expect us to continue evolve there and we see patient engagement and making healthcare easier and more transparent for patients as a big part of one of our pillars of focus going forward, and you should expect us to continue to be active in those areas.
Stephanie Demko: I hear that's a big area demand. Now one quick follow-up just from balance sheet is that given the size of the payment or in fact confusion and making free cash flow trends, will you have to do anything on the debt or equity side to kind of fund it?
Dennis Olis: Yes, Steph, this is Dennis. So as I talked about previously, we're still working on the terms of the agreement and the payment structure and timing with the DOJ, but we have quite a bit of available credit -- available to us through our credit facility. So we'll deal with that when the time comes and we'll get final terms.
Paul Black: There is absolutely no disruption to our capital structure on this deal, right. We have north of half-a-billion of availability with our current credit source, not to mention cash on the balance sheet, not to mention free cash flow, that will generate over the next -- whatever time period you want to pick, 12 months. So there is zero implications on capital structure.
Stephanie Demko: Okay, that's it. Well, thank you guys, appreciate it.
Operator: Our next question is from Donald Hooker with KeyBanc. Please proceed with your question.
Donald Hooker: Hi, great, good afternoon. Just maybe help us understand some of the sort of seasonality in the business, so business has changed a lot obviously with businesses being acquired coming in and out, and I guess you are probably learning as well, so when I think about sort of this year, particularly Veradigm, if I had a dollar of revenue through the year, how would you sort of think about that typically being distributed between the four quarters?
Dennis Olis: They probably SKU maybe $0.30 of that to maybe a size 35 but 30 would be Q4, but otherwise pretty equal for the balance of the year.
Donald Hooker: Okay…
Paul Black: What's true for most of the rest of the company as well is that -- from a revenue perspective it's closer to $0.25 each quarter. There is not a lot of seasonal impact on revenue outside of the Veradigm part. It does have some seasonality in sales, and so -- and sometimes when you're not selling a subscription, when you're selling licenses then that sale seasonality can translate to revenue seasonality with some license revenue recognition, but we think some of that seasonal pattern is less pronounced than used to be in the industry, and you see that really frankly by bookings answers. You don't have as wider swing as it used to be, used to be a Q4 was by far the biggest, Q2 was second, and then Q1 and Q3 were laggards considerably, and you just don't have that level of variability the way you used to, but…
Donald Hooker: Super. And then maybe just one follow-up from me, I guess we're also lapping, I believe the Practice Fusion of subscription price that you put into Practice Fusion last June I believe, would love to hear kind of an update there in terms of the stickiness of that, or a year after now in terms of subscriber growth in that product area. And then the other thing sort of related to that, I had always been optimistic that you could maybe cross-sell into there with just some other revenue cycle tools and things like that into that base. Can you maybe elaborate on those two things? And that's all from me, thank you.
Paul Black: Yes. So, on the first point, yes, we have lapped that, and we told you a year ago we were very positively surprised by how good we did with the conversion. It beat our internal planning estimates. And we continue to pick up some providers after the initial introduction of it, and that's still the story. We'll have a little bit of churn. There is no EHR in the market that doesn't have some churn, but we are -- the short answer to your question is we're happy with the retention rates we've had, and the new providers we continue to pick up.On the second part of your question, yes, we actually just last quarter began to process began to cross-sell our practice management solution that we own. Historically, Practice Fusion did not have a phone PM system. And so they relied on third parties for that, when they were selling a combined EHR/PM to the clients, we have a PM system, we've been able to scale it down to be able to address a good chunk of the larger practices on the Practice Fusion solution. So there are still small one to two dark practices, where RPM system is too complicated for them. And so we'll probably continue to use third-party relationships there, but we have begun some of the cross-selling into that base.
Rick Poulton: And then just to build on the first point, we actually have more providers on the system today than we did before we started charging the subscription fee last year.
Donald Hooker: Yes. That's helpful. Thank you.
Operator: Our next question is from Eugene Mannheimer with Dougherty & Company. Please proceed with your question.
Eugene Mannheimer: Thanks. Good afternoon. Congrats on a good progress. I wanted to ask again, Veradigm here what percent of your bookings growth that you're guiding to is Veradigm related?
Rick Poulton: When you say bookings growth, are you talking about other increase in our outlook for the year?
Eugene Mannheimer: That's right.
Rick Poulton: Okay. Well, the increase in outlook remember is as much to do with we had a good first-half? And I would -- I think it made it easy for us to think bigger, given how good the first-half was. In the first-half, Veradigm had a pretty good first-half. And I don't have a number for Eugene, I'm sorry, I thought I had but they've definitely contributed to the growth rate, but they were not, they certainly weren't all of it, but they were contributed to it you should -- we gave earlier this year an expectation of where growth was going to come from across the company.
Eugene Mannheimer: Right.
Rick Poulton: And you should think about relative performance of sales is in line with that type of relative contribution and growth.
Eugene Mannheimer: Okay, very good. Thank you. And then with respect to just again, drilling down on the organic growth here in the business, in the fourth quarter, you said you're expecting some NextGen revenue from that agreement, can you quantify the amount of that and maybe for help grids also, so we can whittle down those sort of the organic growth piece? Thank you.
Rick Poulton: Look, I mean, we're not -- that's a commercial contract that we're not going to get contract level detail, but let's just say that says, the collective impact from those two areas is single-digit million dollars. And so, the increase that we're going to -- we're seeing relative to where we, standing into is coming from across, multiple disciplines in the company, not…
Eugene Mannheimer: Okay, got you. So, very small contribution then from that standpoint, thank you.
Rick Poulton: I mean.
Eugene Mannheimer: Yes.
Rick Poulton: It is in the eye of the holder, but we -- and that's just, it's a start with respect to NextGen and it's early without it. So, those both of them will become meaningful contributors over time. There's no doubt about it.
Eugene Mannheimer: Got you.
Rick Poulton: When we're talking about [indiscernible]
Eugene Mannheimer: Very good, thank you, I appreciate it.
Operator: Our next question is from Mike Ott with Oppenheimer. Please proceed with your questions.
Mike Ott: Good afternoon. Thanks for taking my question. It's great to hear that you're in talks with Northwell. Curious if you can say which areas you might expand with them?
Rick Poulton: Northwell is a very big institution, as you know, and they are thinking about doing some big things. And, I would just tell you that we're joining forces with them, around thinking about their ambulatory solutions, we're joining forces with them. Think about their data and what to do with that. And, with that, I'll just let's wait till we have more announcements to make.
Mike Ott: Okay, fair enough. And you've historically been strong in the U.K. where there was recently a Prime Minister change, has anything to your knowledge NHS changed or from the recent Brexit developments there?
Rick Poulton: No, the Jeremy Hunt is still the minister of health and as a matter of fact for us just announced today they gave some more monies to 20 different trusts there to go spend on digital enhancements. So I'm seeing those dollars free up a little bit. That's that, clearly a meter mover, but certainly a good indication of where they want to put their money. The government and most of the governments that have succeeded Churchill have been big advocates and continued to spend a lot of money on the NHS. It's a national treasure for them.
Mike Ott: All right, very helpful. Thanks, guys.
Rick Poulton: Thank you.
Stephen Shulstein: Thank you. So thank you very much for the call today. As you can see, we're pretty bullish about the first-half that we had. The clarity that we have also received on the Department of Justice is very reaffirming and from my perspective. The success that we had and specifically also where we think we're going to end up with our friends at Northwell are all good things for the company and our shareholders. All that drives visibility to the rest of 2019, which is why we reaffirm the guidance and raised it on the booking side and which is why you're hearing some of the comments today.We appreciate your questions. And as Rick said earlier, we appreciate everybody's attention to this company. We take these calls and what we do very seriously and we will continue to do everything we can to grow this business in a profitable manner. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.